Operator: Good day. My name is Stephanie, and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded and simultaneously webcast. I would like to now turn the call over to Andrew Fung, Senior Director of Investor Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our fourth quarter and full year 2025 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company's website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Dardashti: Thanks, Andrew, and good afternoon, everyone. 2025 was a transformational year at Aeva. In an evolving industry, we significantly solidified our leadership position with more customers adopting our unique perception platform and industry leaders partnering with us to further accelerate our momentum. And coming out of one of our best CESs to date this past January, Aeva is building on that momentum and off to a very strong start in 2026. We see a growing number of exciting opportunities to pursue this year and are focused on aligning supply to respond to the rapidly increasing demand for Aeva's suite of perception solutions. This will build on 2025's significant accomplishments. One of the biggest is our first major passenger vehicle production program award. This is from a top European passenger OEM long known as a leader in the automotive industry with a strong track record of bringing industry-defining capabilities to market at mass volume. Aeva will be the exclusive LiDAR supplier to this OEM globally outside of China. In addition, NVIDIA also selected Aeva as the reference LiDAR sensor for its DRIVE Hyperion development platform, which is being adopted by an expanding number of major OEMs to bring Level 3 and higher automation to their production vehicles. This is another major validation for the need for LiDAR from one of the leaders in the industry. As the core LiDAR sensor on the platform, NVIDIA will incorporate our unique 4D data to enable OEM development, validation and simulation, which we believe could further accelerate the adoption of Aeva's perception platform across the automotive industry. We also continue to deliver on milestones for existing production customers, such as Daimler Truck. With Daimler Truck, we successfully completed on-road validation of our Atlas B-samples and are on schedule to deliver final C-samples this year. As the exclusive long-range LiDAR supplier and primary detection sensor for Daimler Truck's autonomous production trucks, we are excited to continue supporting the progress towards commercialization. To advance a growing number of opportunities beyond just automotive, we formed a strategic collaboration with LG Innotek to bring 4D LiDAR to a broad range of physical AI applications, where LG Innotek is already a major player with significant global scale. The goal of our partnership is to leverage each other's strengths to accelerate deployment of Aeva's 4D LiDAR across multiple markets. As part of this, LG Innotek is investing up to $50 million in Aeva through a combination of an equity stake, nondilutive investment for new joint products for physical AI and capital investments to bring production capacity online for our next generation of products. Since forming the partnership last May, we have made quick progress on a number of fronts, including joint development of Omni, the new 360-degree product that we unveiled at CES last month. This is in addition to Aeva's line of Eve precision sensors designed for micron-level accuracy in factory automation applications. Shipments of these sensors began in late 2025 to our initial customers such as SICK and are on track to ramp up this year. I am pleased to say that Aeva's financials also reflect our building momentum. We doubled our revenue in 2025 to a new record for the company, driven by increasing sensor shipments and expanding applications. To better position Aeva to meet this growing demand, we bolstered our balance sheet by approximately $150 million with leading partners, LG Innotek and Apollo. With one of the strongest balance sheets in the industry and expanding interest for our differentiated technology, we look forward to another exciting year in 2026. Now let's dig a bit more into recent business developments. Starting first with our global production program award from a top European passenger OEM. This is the OEM we have been working on a development program with over the course of 2025 and previously referred to as a global top 10 passenger OEM. The award is significant for a couple of reasons. First, in scale, the OEM sees Level 3 capabilities as a key differentiator for its next-generation vehicles and is developing a standardized automated driving platform for broad deployment globally across multiple vehicle model lines and not just the top-end models. Aeva will act as the exclusive Tier 1 suppliers globally outside of China through the middle of next decade with a target SOP in 2028. Second, this win marks the first major passenger OEM transitioning from Time-of-Flight to FMCW. This OEM has extensive experience with Time-of-Flight LiDAR, including an initial rollout of limited Level 3 capabilities. The OEM selected Aeva for its next generation following extensive evaluation of other solutions and Aeva's ability to help the OEM achieve key use cases needed to safely enable Level 3 on a broader scale. Given this OEM's reputation as an industry leader in bringing new features and capabilities to the automotive market at mass volume, we believe their selection of Aeva is a tremendous vote of confidence in the superior performance and scalability of our differentiated technology. We expect this to deepen our engagements with other major OEMs and potentially drive other OEMs also considering our perception technology to make a similar decision. With our growing pipeline and deepening engagements, I'm happy to share that a new global top 5 passenger OEM has selected Aeva for a development program focused on the configuration, integration and validation of our Atlas Ultra sensor for their next-generation global production vehicle platform. The OEM selected Aeva for the development program after extensive experience with Time-of-Flight LiDAR and a growing appreciation that our unique performance helps address key use cases critical to enabling higher levels of automation and at scale. We believe that Aeva is well positioned given our differentiated performance, balance sheet and commercial momentum with more leading OEMs awarding Aeva as well. Another example of our growing momentum is NVIDIA selecting Aeva 4D LiDAR as the reference LiDAR sensor for its DRIVE Hyperion platform. NVIDIA is one of the top leaders in autonomous vehicles and works with some of the biggest OEMs and industry players such as Mercedes-Benz, Stellantis, Uber and others. DRIVE Hyperion provides a common platform for integrated sensor and compute designed for real-world autonomous driving applications. The same architecture consisting of a common suite of LiDAR, radar and cameras can support a wide range of vehicle types from passenger vehicles, robotaxis and delivery fleets across multiple configurations. We believe NVIDIA's selection further solidifies the case for LiDAR to enable higher levels of automation and has the potential to accelerate adoption of our technology. As the reference sensor on the DRIVE Hyperion platform, NVIDIA is integrating our 4D data for OEM development, validation and simulation. This has the potential to effectively make Aeva a core LiDAR supplier to passenger and commercial vehicle OEMs using the platform globally outside of China. And as OEMs incorporate Aeva's added dimension of velocity into their AV stack, we believe it will drive greater collaboration with Aeva and the potential reliance of our technology that positions us well to win their production programs. Beyond automotive, Aeva continues to expand into new applications. As we highlighted at Aeva Day last summer, our unique perception platform leverages the same core hardware components with different software to reach an $80 billion-plus market opportunity across a wide range of applications. This includes the fastly growing multibillion-dollar defense market where LiDAR is increasingly used for autonomous vehicles, drones and security. We are engaged with a number of leaders in this space and recently announced our first defense win with Forterra. Forterra is a key provider of autonomous mission systems for defense and other complex operational environments and has selected Aeva to use our LiDAR technology for its autonomous vehicle system, AutoDrive. Forterra is also transitioning to Aeva due to our combination of long range, velocity and vehicle positioning that enhances perception, including unstructured and in GPS-denied environments where defense vehicles need to operate. And unlike existing solutions, our sensors are also undetectable by night vision systems, a critical feature in sensitive operational environments. We believe the large defense market can be a meaningful portion of our business in the near term. We have already begun sizable shipments to Forterra last quarter and look forward to supporting this program as well as other defense opportunities that we're currently engaged on. Moving now to Aeva's key objectives. Let me start with a review of our 2025 goals before turning to our plans for 2026. So we set ambitious goals for 2025 that were designed to further position Aeva on a path for significant and sustainable growth, and it was an incredibly successful year. We exceeded our target for 2 additional wins with a top European passenger OEM production win and NVIDIA in automotive with SICK AG and LMI Technologies in manufacturing and factory automation as well as others such as Sensys Gatso and smart infrastructure. In terms of product and manufacturing readiness, we successfully completed the final release for our Atlas product as well as the buildup of our automated final assembly line, which we expect to enable systems annual capacity to reach 100,000 units. And as we'll discuss later on, one of our objectives for this year is to focus on increasing capacity of our supply chain in collaboration with our key partners. Aeva also made significant strides towards expanding into new applications such as precision sensing with our eve sensors that have already begun shipping and a strategic collaboration with LG Innotek that has resulted in our expansion into new physical AI and robotics applications with joint new products that we aim to bring to the market. We accomplished all of this while meeting our financial targets to grow revenues by about 100% and also reducing operating expenses by more than 10%. Looking to 2026, we are focused on further solidifying our leadership position in sensing and perception and our path to profitability. In particular, we are targeting another 4 or more commercial wins this year, including within automotive and nonautomotive applications. At the same time, we will be equally focused on upcoming production launches with our customers. We are on schedule to begin shipping our Atlas C samples to Daimler Truck this year and are working closely together ahead of start-up production. We also plan to further accelerate our expansion within the industrial robotics and the broader physical AI space with the release of Omni that is targeted for the second half of this year and a 5x increase in our industrial sensor shipments. To support our growing programs, we will build on the work to scale our manufacturing achieved last year. Key milestones will be beginning manufacturing on our fully automated final assembly line as well as working with our key partners to increase capacity for our module supply chain to support the growing number of commercial wins. And lastly, we plan to do all of this while continuing to strengthen our financial position. Consistent with the financial framework that we shared at Aeva Day last year and what we delivered over the prior few years, we target another year of significant growth while maintaining similar levels of operating expenses. So to sum it up, we expect this year will be another major year for Aeva with significant opportunities to advance our commercial momentum with new wins while keeping our ongoing focus on supporting existing programs and for financial discipline. With that, I'll turn it over to Saurabh.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. Before I walk through the financials, I want to emphasize themes that defined our fourth quarter and full year 2025 performance. We are seeing increasing near-term commercial momentum in existing as well as new markets, which have shorter sales cycles, while at the same time, continuing to grow our midterm revenue potential with major program awards. We are also strategically positioning Aeva with partnerships such as with LG Innotek to further capture the rapidly growing number of opportunities across physical AI. And we continue to do this with disciplined capital management, supported by the strategic financing we completed earlier in 2025, which strengthens our liquidity and extends our runway through key milestones. Now let me review Aeva's Q4 and full year 2025 financial results. We had a record revenue quarter and year for Aeva in 2025. Revenue in Q4 was $5.6 million and for the full year, $18.1 million, which reflects doubling of our revenues last year compared to 2024. This increase in revenue was driven by higher sensor shipments across a number of customers and applications as well as NRE revenues from customers such as Daimler Truck and the top European passenger OEM. Our non-GAAP operating loss was $23.8 million in Q4 and $102 million for the full year. On a full year basis, non-GAAP operating loss declined by 17% that was driven by a 12% reduction in non-GAAP operating expenses. Aeva's gross cash use, which we define as operating cash flow less capital expenditure, was $23.7 million in Q4 and $119.7 million for the full year. Aeva's total available liquidity at the end of 2025 was $246.9 million, which consists of $121.9 million in cash, cash equivalents and marketable securities and $125 million in an undrawn facility that is fully available to draw at management's sole discretion. We believe this provides Aeva a competitive advantage to continue supporting both existing customers and securing additional wins across a broad range of applications. Moving now to our financial outlook for 2026. At a high level, we expect to continue strengthening our financial performance that is consistent with the framework we highlighted at the Aeva Day last summer. More specifically, we target growing revenue to the range of $30 million to $36 million in 2026, which would represent an increase of approximately 70% to 100% year-over-year and marks our third consecutive year of a similar revenue trajectory of essentially doubling annually. The targeted growth in revenue is anticipated to come from a combination of increasing product shipments and increasing contributions from multiple programs as they approach production. Where we land within our guided range will be dependent on exact timing of customer shipments, development activities and ramp. And consistent with prior years, we expect revenues to fluctuate from quarter-to-quarter. In terms of spend, we plan to remain strategic and disciplined in how we manage our capital. We see opportunities to balance the need to invest in the business with the completion of certain product development costs. And as such, we target full year 2026 non-GAAP operating expenses to be similar to prior year or a slight increase of up to 10%. So in summary, Aeva is executing on its road map to capture more of the $80 billion-plus market opportunity while maintaining a disciplined financial approach. Looking ahead, we expect this to continue, and we are focused on maintaining a balance sheet to enable further expansion while continuing to deliver on our customers' milestones. Now let me turn the call back to Soroush for closing remarks.
Soroush Dardashti: Thank you, Saurabh. Across an expanding number of industries from automotive to industrial automation, robotics and more, the momentum for our perception platform to enable the rise of physical AI is increasingly clear and taking hold. Coming off a landmark year at Aeva, I would like to thank the Aeva team for their dedication and tireless work as well as our growing list of stakeholders for their tremendous contribution and support. I fully expect 2026 to be another major year for us with focus on execution and growing number of opportunities to further strengthen Aeva's leadership position and the foundation for significant long-term value. And with that, we'll now move to questions and answers.
Operator: [Operator Instructions] And we'll take our first question from Joe Moore with Morgan Stanley.
Joseph Moore: I wonder if you could talk about the NVIDIA relationship a bit more. I know we discussed at CES, but can you -- how long have you been working with them? And can you sort of talk about what benefits you may see from that over time?
Soroush Dardashti: Yes. Hi, Joe, this is Soroush. Happy to take that. So this NVIDIA reference win for us is a major collaboration. And I think also the biggest piece about it is this is not just another collaboration where anybody can interface with the NVIDIA stack, right? This is the result of a creative effort that we've been working together for quite some time. And we're actually actively working on a production program for an OEM together. So this is, I think, first of all, a validation for LiDAR as itself because NVIDIA, obviously is one of the top leaders in the AV space. And our partnership is surrounding around our deployment of Atlas Ultra as well as plugging in also Atlas, specifically for all the OEMs that are developing on the NVIDIA Hyperion Drive platform. So the Hyperion Drive platform, why this matters is because it's one common platform, one reference set of the same LiDAR, the same radar camera as well as NVIDIA processor with the software on top of that, that is going to be replicated across all the OEMs that work with NVIDIA. And that's why it's -- we think it can have a significant and massive potential for us to effectively get with one partner, the potential for multiple OEMs that sign on. So that, I think, as a result of that and on the heels of also our win with the top European OEM, we're seeing now an increasing demand and an increasing conversion rate also for the company to get these additional wins and bring the product to market. So as OEMs, as I mentioned also, leaders in the space such as Mercedes-Benz, Uber, Stellantis, others deploy the technology, we expect that -- we see that, that potential for our LiDAR sensor to be used as a reference set for these production programs is going to be very significant and critical for deployments, specifically for Level 3 and beyond as well.
Operator: We'll take our next question from Colin Rusch with Oppenheimer & Company.
Colin Rusch: Congrats on this top 5 development program. I would love to understand a little bit more with that top 5 passenger OEM, the competitive dynamics and how many other folks are at the table and where you really found some leverage in terms of being able to push yourself to the front on that. And then the second kind of part of my question is really around the pipeline in the defense space. Obviously, having the Forterra relationship is a great validation. But curious about how robust the pipeline is around those defense applications as we move towards a more autonomous sort of military environment across the globe.
Soroush Dardashti: Yes, Colin, happy to take that. Thanks for your question. So first of all, on the top 5, this is, I think, the biggest thing for us is this is another major validation point for the transition going from Time-of-Flight towards FMCW. And the growing pipeline to your point about the pipeline for our technology and the company here. So first of all, this OEM has extensive experience with Time-of-Flight and existing LiDAR solutions. And based on our engagement and the joint development that we're doing now, they're increasingly transitioning and looking to adopt our technology. The reason for that is because they view FMCW as the kind of key driver for future-proofing their AV stack, right? So that's important because there are certain use cases as the OEM is transitioning from the lower level of automation to Level 3 and higher where they can take advantage of those differentiation from FMCW and from our perception stack. So that's one of the key, I think, drivers for where we are today with them. I think we are obviously now progressing with the configuration, integration. It's really surrounds our Atlas Ultra. But importantly, again, we're going to be working on one common platform that is built on the same Atlas Ultra product that we are deploying for our -- for the other top 10 passenger OEM with some tuning relevant to this OEM, mostly in software to deploy this across multiple vehicle lines and really across multiple car brands for the OEM's global production platform. So one common platform that's going to be hopefully going across multiple car brands. So that being said, given where we are, we believe Aeva is very well positioned, given both our differentiated performance, our technology platform, our balance sheet and the growing commercial momentum for the company with our partners to deliver on this program and also to continue our conversion rate from development towards production. But obviously exciting for us to get to be able to share that today already within a couple of months after some of the other announcements. On your other point of your question about defense, as I mentioned on the call and you alluded to it, this is a growing market. It's a massive market already. But it's one that we are seeing increasingly look into advanced sensing like LiDAR to be able to enable autonomy at different levels, including for AGVs, autonomous ground vehicles for the ground, but also for drone applications, right? And this is a multibillion-dollar market. Our first win with Forterra in defense was at the beginning of this year. And we are moving pretty quickly on this. We have already started making shipments that are sizable to Forterra. And we have a number of other engagements in defense that we think is going to be a potential meaningful contributor to our near-term product sales. So that's something that we're going to keep going on and is the momentum that we're seeing. And it's another proof point of the team here is executing on multiple fronts. It's not -- now Aeva is one of the, I would say, the only pure-play company in the perception space that has real commercial traction, both in automotive as well as nonautomotive applications that we're looking to now leverage that and grow our scaling to be able to support that demand. And that's the focus for this year.
Operator: We'll take our next question from Suji Desilva with ROTH Capital.
Sujeeva De Silva: Congratulations on the customer announcement here. Maybe you can talk about the physical AI market. I know LG I is a partner there, but will LG I be able to enable you to tap the global physical AI opportunity? Or will you need other partners to target various pockets of that?
Soroush Dardashti: Yes, Suji, happy to answer that. So obviously, the rise of physical AI is super broad right now, and it's expanding pretty quickly. I think it's an area where I think it is going to be hinging on and relying on advanced sensing, including LiDAR and perception significantly and growing in the coming years here. But there is near-term opportunity here, right, in physical AI. So as you mentioned, for us, with the same core platform, different software, we can address different markets, automotive or manufacturing automation or defense. And we can also scale the performance, so where we can provide unique capabilities that are not really achievable with existing, let's say, LiDAR solutions in general, for example, getting to micron level accuracy for factory automation applications. So that relates directly to physical AI and robotics. And in our strategic collaboration with LG, we see them as a key partner that can help us expand in these markets. They have the direct credibility and the scale and the resources and, most importantly, the commitment at the highest level of the CEO and across CTO and other levels to bring together new products based on FMCW technology to those markets. They're one of the largest suppliers of camera and vision modules to consumer companies like Apple. They're delivering automotive solutions within a number of players in automotive. And they're also working on visions and kind of laser-based solutions for robotics market, including humanoids and others. So that is something that we are working on together. Our first product jointly is Omni, which is a 360 sensor solution for the industrial robotics market. And I think that's going to be a big part of the physical AI application. But we're also working on next-generation products that we think can help address some of those other markets and customers that I mentioned earlier. So we're excited about that. I think we're in a very good position. They're very dedicated. They're investing significantly also in that, $50 million about the company and also taking on the CapEx for that. So that, I think, is a good sign, and we'll continue to leverage the existing partners we have and deliver on those new market expansions that we are starting to see.
Sujeeva De Silva: Okay. And then my other question on the defense market. I'm just curious why you think now you're seeing the interest and traction from the defense customers? Is it your readiness or their interest in something catalyzing that? And also, is the competitive landscape different there? Or what are they using currently that they're maybe upgrading to FMCW?
Soroush Dardashti: Yes, of course. I think, first of all, the defense budget is seeing significant growth, right, year-over-year, and that's -- it's a big area. And I think we are seeing that also rely more and more heavily on AI-based solutions, AI-based edge-based solutions. And that's why having a perception system and not just a gadget is important here. With our technology, there's a number of key advantages where we see why some of this acceleration of defense opportunities happen. And I'll give you maybe one of those examples. So for example, for ground vehicles, and the win we have with Forterra, one of the key challenges for applications in defense is when you have automated vehicles you need to rely on these -- on sensors, including LiDAR, right? So there is no GPS as a GPS-denied environment. With our technology, because we have the ability to do our own motion estimation and odometry that helps with navigation in GPS-denied environments. That's one of the advantages of FMCW. We have the long-range sensing with velocity, which anything happening in the field, in the battlefield that's dynamic is super critical to see immediately. So we can instantly detect those. And third, and I think very importantly also out there in the field, when you use active sensing, these -- sometimes these -- if they're Time-of-Flight based, especially with Time-of-Flight sensors that are out there today are very easily detectable by night vision goggles. Night vision goggles have a very high penetration obviously across the battlefield. So this is something that becomes problematic. So one of the core drivers for our selection also was the fact that with our technology, it's not visible in the night vision goggles besides all the other things that I mentioned. So we are seeing that interest now from other players in the market. And we think that's why it's moving quickly. And we have already shipped -- actually, as part of last year, we actually had sizable shipments in the defense application that was almost double-digit percentage for our product sales. So I think that all of that, because of the agile movement and the new emerging players that are driving that, we are seeing ourselves also being pulled into that market, which is quite exciting.
Operator: We'll take our next question from Richard Shannon with Craig-Hallum.
Richard Shannon: I'm actually going to ask a follow-on or kind of rephrasing a prior question. I'd love to ask in a slightly different way than I have my own question here. And the first one is on the top 5 OEM here, specifically on the dynamic of competition here and the way you phrased your answer, Soroush, was kind of leaning heavily towards making me think that there is no other competition going on here, but I'd love to hear you state that or what you think is going on there. And then my question really is on the targeting 4 wins for this year here. Would love to get a sense of how many of those you expect to be in the automotive space with higher volume opportunities.
Soroush Dardashti: Sure, Richard. Good question, and happy to answer. So on the top 5, obviously, let me say there's always been competition, but I think the competition landscape has, for sure, consolidated. And if you look at the pure-play capable companies that can compete is less. But one of the key drivers for our engagement with this OEM is because to what we see and the feedback, they are intending to make that transition to FMCW. And this is to everything that we see and the feedback that we hear is going to happen. And what we're working together on is the timing and how we intercept that for the next-generation vehicle platforms. We are looking at options that we think could potentially accelerate and adopt and intercept an existing program, and we are also looking at opportunities that follow right after that. And these are similar SOPs to the other passenger program, maybe slightly later to follow that up. So that's what I can say right now. But obviously, a key differentiator is our technology. The other piece of it though is it's not just about the tech or having a cool gadget, have to have all the automotive capability, the certifications, the teams and really the, I think, experience and ability as a Tier 1 supplier to be able to deliver those. And lastly, I think having a strong balance sheet helps us to be a viable and long-term partner to an OEM like that. And the catalyst here for us has been really the top 10 passenger OEM followed by NVIDIA. So I think we're seeing now a growing demand from multiple OEMs, including other top 10 or 5 OEMs that are in discussion with us about the adoption of our technology because they may have some similar view. So I would say that's where we are. Obviously we're just getting going, but we'll provide updates as we go forward, but we're overall pretty excited. And this is something we've been talking about for quite some time, right? So that's on that one. And then to I think your other question about the wins for this year. So we target, yes, about 4 wins for this year. Look, my expectation is that it's going to be split fairly evenly. So let's say, target 2 and 2 of each. But it's also dependent on the timing of the customers and their decision-making. But I can tell you, obviously, we have multiple programs across each of these markets within automotive and passenger and commercial vehicles and nonautomotive across the different sectors that provide us opportunity. So I hope that we can even exceed that target, but we're just getting going on the year, and we're setting some aggressive targets. This is, by the way, I think, 2x more than what we targeted last year.
Operator: We'll take our next question from Matthew Paciulli with Canaccord Genuity.
Matthew Paciulli: Congrats on the quarter. Maybe just to start, we've seen some recent pullbacks from OEMs kind of towards their Level 3 deployments. Do you foresee this impacting any of the existing programs that you have? And maybe more broadly, with anything that's in the pipeline, do you foresee any OEMs kind of delaying their time lines there?
Soroush Dardashti: Yes. Sure, Matt. So happy to answer that. So actually, what's interesting is some of the OEM programs that have -- that are looking to transition, one of those reasons because, as I said, is the fact that they're looking to future-proof their stack. And what they see is with the experience that they built up with the existing stack and the existing solutions, there were some gaps, right? And that's where the opportunity for us actually is quite interesting because now this is in a position where it actually helps us because now one of the reasons that, for example, we have the Level 3 program with this top 10 passenger OEM is because they decided to make that transition from another Time-of-Flight solution, right? And these folks, if you look at depending on who you're talking about, they're now looking to focus all the efforts separate from Level 2 on to Level 3 for programs to come up in a couple of years from now by 2028. So that's the time line. We're seeing this, I think, I would say, focus from the market across multiple OEMs to achieve the same goals or similar goals by the similar time frame, between '28 to '29. And this is not just one OEM, it's multiple. And as you see also from like, for example, the announcement today on the top 5, that's another one that's having a similar time line in mind for that. So I think some of those -- I think Aeva is coming at the right time. Some of those adjustments or transitions is actually coincidental with the OEMs making those decisions. This does not mean that they're actually looking not to do L3, they're actually looking to bring L3 with the right partners at the right stack as soon as possible, and they're putting all their focus on that besides Level 2 program. So that's what I would say about the company you mentioned.
Operator: This concludes today's question-and-answer session. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.